Executives: Adam Townsend - Executive Vice President of Investor Relations Sumner M. Redstone - Founder and Executive Chairman Leslie Moonves - Chief Executive Officer, President and Director Joseph R. Ianniello - Principal Financial Officer and Chief Operating Officer
Analysts: Benjamin Swinburne - Morgan Stanley, Research Division Jessica Reif Cohen - BofA Merrill Lynch, Research Division David Bank - RBC Capital Markets, LLC, Research Division Alexia S. Quadrani - JP Morgan Chase & Co, Research Division Michael C. Morris - Guggenheim Securities, LLC, Research Division Anthony J. DiClemente - Nomura Securities Co. Ltd., Research Division John Janedis - Jefferies LLC, Research Division David W. Miller - Topeka Capital Markets Inc., Research Division Laura A. Martin - Needham & Company, LLC, Research Division Vijay A. Jayant - ISI Group Inc., Research Division James C. Goss - Barrington Research Associates, Inc., Research Division Marci Ryvicker - Wells Fargo Securities, LLC, Research Division
Operator: Good day, everyone, and welcome to the CBS Corporation Third Quarter 2014 Earnings Release Teleconference. Today's call is being recorded. At this time, I would like to turn the call over to the Executive Vice President of Investor Relations, Mr. Adam Townsend. Please go ahead, sir.
Adam Townsend: Good afternoon, everyone, and welcome to our third quarter 2014 earnings call. Joining us for the discussion are Sumner Redstone, our Executive Chairman; Leslie Moonves, President and CEO; Joe Ianniello, Chief Operating Officer. We will start with an opening comment from Sumner, followed by Les and Joe, who will discuss the strategic and financial results. We will then open the call up to questions. Please note that during today's conference call, the 2014 results and comparisons to prior year will be discussed on an adjusted basis, unless otherwise specified. Reconciliations for non-GAAP financial information related to this call can be found on our earnings release or on our website. Also statements in this conference call relating to matters which are not historical facts are forward-looking statements, which involves risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's news releases and securities filings. A webcast of this call and earnings release related to today's presentation can be found on the Investors section of our website at cbscorporation.com. With that, let's start with an opening remark from Sumner.
Sumner M. Redstone: Ladies and gentlemen, welcome to the CBS Corp. event.
Leslie Moonves: Thank you, Sumner, and good afternoon, everyone, and thanks for joining us. I'm pleased to tell you today, we reported another solid quarter. Revenue of $3.4 billion was up 2%. Adjusted EPS of $0.74 was up 6%, and reported EPS was up much more to $3.03, thanks to the gain we posted by splitting off our Outdoor Advertising business. We achieved these results because of the continued growth in our diversified set of revenue sources, including healthy gains in content license fees, strong underlying growth in affiliate fees and yes, higher advertising, which will increase even further here in the fourth quarter. And while advertising revenue grew during the quarter, our non-advertising revenue grew even faster and is becoming a bigger part of our results all the time. In fact, the third quarter was the first time that advertising made up less than 50% of our overall revenue. And year-to-date, we have now recorded an even 50-50 split between advertising and non-advertising revenue, which is a far cry from the 70-plus percent of advertising that we had a few years ago. What we are seeing is that the world of content monetization continues to expand across new devices and new distribution platforms. And as it does, we continue to invest in and to produce the best content, which, in turn, strengthens our financial position. This includes a number of recent developments that give us great confidence in the future. First, advertising is growing again here in the fourth quarter. Our local businesses have benefited from some tough political campaigns, which you saw yesterday, culminating in spending that accelerated right up through yesterday's election. And nationally, CBS is once again the #1 network in America and we're up versus a year ago. In fact, we are the only network that is up year-over-year in all 3 key demos: viewers, adults 25 to 54, and adults 18 to 49. We're even the only network that is up 18 to 34. All that this means we continue to get the first look at scatter budgets and capture the largest share of dollars of all broadcast networks. And while broadcast as a whole is having a solid season, basic cable is not doing as well. So any share shift towards digital is coming primarily at the expense of cable and print. Here at CBS, as is virtually always the case, scatter pricing is being written right now at a premium to upfront pricing. Another development that gives us great optimism is the series of reverse comp deals that we did during the quarter. Just like the Time Warner Cable deal a year ago, we once again proved the value of CBS this summer during negotiations with the incumbent CBS affiliate in Indianapolis. They did not want to pay market rates for our programming and so Tribune came in with a significantly better and fairer offer, and we did a deal with them instead. Soon after, not surprisingly, we quickly followed that up with a series of new reverse compensation agreements, first with Gray Television, then with LIN and then with Media General. All of these deals were done at extremely attractive and growing rates. So once again, the free market worked and we're now on track to easily hit our goal of $1 billion in retrans and reverse comp as we exit 2016. And we are more confident than ever that we'll achieve our goal of an impressive $2 billion in 2020. By the way, our next major deal in this area is with DISH Network. The end of our current deal is approaching soon and we're determined to get paid fair value for our programming. As you know by now, we know how to get this done, and rest assured, we will. The third recent development for us is the successful launch of our very own over-the-top service called CBS All Access. All Access is additive to the overall ecosystem in that it primarily addresses consumers who are not currently MVPD subscribers. It offers more top 25 current shows than any other SVOD service. Plus, it enables viewers to watch CBS live and to be counted outside the home. So we're expanding our reach to new audiences, especially younger viewers, and proactively taking advantage of the growing mobile marketplace. I'm also pleased to announce that we just reached a historic over-the-top agreement with Sony for rights inside the home. Sony, along with others who are getting into this space, represents yet another iteration of content distribution. And as new entrants, they will pay us higher subscription fees than what we've ever been paid before. So just like when telcos came along to compete with cable and satellite, broadband services will help expand the universe of opportunities for companies like CBS that make the best programming. All of these developments, along with the many other opportunities we have in front of us, are why we remain so confident about our future, and it's why, in addition to reinvesting on our content, we are returning more value to shareholders than ever before. Through the first 9 months of the year, we retired nearly $5.5 billion of our stock and raised our dividend by 25%, our second increase in 2 years. And with the expansion of our share repurchase program that we told you about during our last call, we have more than $5.5 billion to go. So there's a lot more to come, and returning value to shareholders will remain a top priority. Now let's take a look at each of our businesses, starting with entertainment, and then I'll turn it over to Joe for more color, followed by your questions. As I mentioned, the CBS Television Network had a terrific start to the new season. Our new programs batted 1.000 going 4 for 4, with all 4 of our new dramas being picked up for the full year. The good news is we own 100% of 3 of these new shows: NCIS: New Orleans; Scorpion; and Madam Secretary. Meaning, we have once again reloaded the content pipeline with new franchises that we will monetize around the world for many years to come. And we continue to beat the competition. In addition to being the only network that's up in all key measures, we also have the #1 drama and the #1 show overall in NCIS; the #1 and #2 new dramas in NCIS: New Orleans and Scorpion; the #1 comedy, Big Bang Theory; and the #1 news program, 60 Minutes. Plus, 4 of the top 5 prime time shows are on CBS as well as 6 of the top 10, more than all of the other networks combined. Thursday Night Football has clearly been a great addition to our lineup as well. Even with the number of blowout games, we grew CBS' strong Thursday ratings from a year ago, and we nearly doubled the ratings for the comparable games last year on the NFL Network. In our final prime time game on CBS, we beat Sunday Night Football with the highest-ranked NFL game of the week. This was the first time that a Thursday night NFL game has ever come in ahead of Sunday Night Football. The NFL continues to be extremely valuable for us on Sunday as well. This past weekend, we have the third highest regular season game in 16 years when the Patriots beat the Broncos. The addition of Thursday Night Football also allowed us to strengthen our lineup with some key scheduling moves, for example, by moving Big Bang from Thursdays to Mondays for the first 6 weeks of the season. We were able to create the perfect lead in for Scorpion, clearly contributing to that show's success. Scorpion, by the way, provides a good illustration of the growing trend across our industry towards huge increases in delayed viewing. As you've heard me say, and as the facts prove, overnight ratings are becoming more and more irrelevant all the time. Day of air, Scorpion averaged 13 million viewers this season. But after 7 days, its average increases by 5 million additional viewers to 18 million, all of which are being counted by Nielsen. And the bigger the show, the bigger the opportunity. Big Bang, NCIS, NCIS: New Orleans are all drawing more than 20 million viewers when you add in 7 days a week. 20 million viewers week in and week out. How many cable shows can say that? How many online shows or hits does it take to get that kind of reach in one place? Yes, those are rhetorical questions. I should also point out that the CW, which we co-own with Warner Bros., is also off to a great start. The debut view of The Flash was the CW's most-watched telecast ever, and Jane the Virgin, which we own, also had a strong debut in one of the most critically acclaimed shows of the new fall season. Our content continues to be in high demand overseas as well. We've already begun licensing all of our new owned hits in the international marketplace, including Scorpion, NCIS: New Orleans, Madam Secretary, Jane the Virgin and Showtime's The Affair. We also got a jump-start overseas with our new CSI, CSI: Cyber, which doesn't debut on CBS until mid-season, but has already been licensed in more than 200 international markets. That is 6 brand-new owned programs that are entering the never-ending cycle of syndication revenue. Plus, in addition to more traditional domestic and international outlets, CBS Studios has begun creating original content for SVOD distribution partners, too. So along with all of the content we create and own for CBS, Showtime, the CW and outside broadcast and cable networks, we can now add digital streaming companies to that list as well. More deals along these lines are coming soon. At the same time, CBS Studios is also expanding into late nights. Currently, our late night shows are owned by Worldwide Pants, but beginning next year, the Late Show with Stephen Colbert and the Late Late Show with James Corden will be produced and owned by CBS, meaning we'll have the right to license these programs in a number of ways we couldn't before. And as you know, late night shows are very popular and highly monetizable on digital platforms. And in another important development, tomorrow, CBS News is launching a new streaming service called CBS N, that will allow us to take all of the content we create across our news division and distribute it across the leading digital platforms without the costs associated with the Cable News Network. This service will provide programming 24/7 to a whole new audience, and along with All Access, demonstrates the way we are following our viewers with CBS content wherever they are. As digital media expands, CBS Interactive is growing at a fast clip, too. Advertising was up strong double digits in Q3, and we continue to post growth in profit quarter after quarter. Turning to cable. Showtime continues to be a truly remarkable story for us as well, and it is excelling both creatively and financially. On the creative side, our programming has never been better, including strong performances by Homeland, The Affair, Masters of Sex and Ray Donovan, which just concluded one of the best seasons of television we've seen in a long time. And we just announced the revival of Twin Peaks, which, by the way, has been one of the biggest television stories in social media. On the financial side, in addition to growth in affiliate fees, we continue to increase our ownership in original programming. We now have ownership in more than 10 series on Showtime, with several more to come. So in addition to rates and subscribers, syndication has become a major driver of Showtime's growth. Also in cable, we announced plans during the quarter to rebrand TVGN, our co-venture with Lionsgate. Beginning in the first quarter, the network will be called Pop, with more than 400 hours of original programming, including 6 new original series as well as a number of shows from our extensive CBS library. Since we made our investment in this network in 2013, ratings and key measurements have grown every single quarter, and we're confident that will continue into 2015 as well. In publishing, we are very pleased with the leadership Simon & Schuster showed in its groundbreaking deal with Amazon. This was a terrific deal financially for both Simon & Schuster and its authors, and it established the strength of our publishing business for the future. As we look ahead to Q4, we have a number of strong titles still to come, including releases from Stephen King, Tony Robbins and Mary Higgins Clark. In local, both our television and radio stations had very strong quarters. On the television side, political spending, retrans and NFL sales all contributed to double-digit third quarter growth, and Thursday Night Football has given a significant lift to our late local news here in the third and fourth quarter. All but one of our games featured teams from our O&O markets, resulting in late news ratings that were 20% higher in our key news demos -- demo of adults 25 to 54. Looking ahead, we're confident that going mobile with CBS All Access will help our television stations continue to grow in the digital future. Radio also had a strong quarter as we continue to focus on our big market strategy. Last month, we made an agreement with the Beasley Broadcast Group to swap 14 stations for 5 stations, exiting some of our midsized markets while building our presence in Philadelphia and Miami. We own television duopolies in both of these major markets, meaning our new radio stations are a terrific complement to our existing local portfolios. So across CBS, the creation and monetization of our premium content continues to drive our results, and nobody knows how to do it better than us. Each call we have with you, we tell you about all the new opportunities in front of us, thanks to the way we continue to reload our world-class content, and this quarter was no different. We launched 5 new owned hit series across our networks, including Scorpion, NCIS: New Orleans and Madam Secretary at CBS; Jane the Virgin on the CW; and The Affair on Showtime, with the sixth, CBS Cyber (sic) [CSI: Cyber] still to come. All of these shows will be monetized for years to come through multi-platform syndication deals around the world. In addition, CBS Studios is steadily increasing its output of shows that we own by distributing across a growing variety of broadcast cable and now, streaming outlets. We also launched CBS All Access, and we're about to launch a new streaming service in CBS News, and we're about to begin working with a whole new entrant in distribution, thanks to our Sony agreement. Plus, during the quarter, we continue to renegotiate retrans and reverse comp deals at much better rates, putting us at a clear path to $2 billion in revenue in 2020. And we've gone mobile with our TV stations, have traded up to beachfront property in radio and cut a terrific new deal at Simon & Schuster with Amazon. And remember, once again, CBS remains America's #1 network, up in every key demo, something none of our competitors can say. Through all this, we're returning value to our shareholders like never before, with lots more to come. So we continue to build on our position of strength, and we feel more confident all the time about our future. And with that, I will turn it over to Joe.
Joseph R. Ianniello: Thanks, Les, and good afternoon, everyone. In a little bit, I'll give you some more details about our third quarter results, and now, I'll talk about what we see ahead in the fourth quarter and into 2015. But first, I'd like to give you a final update on our Outdoor initiatives and discuss how we have set ourselves up for continued future growth. During the third quarter, we completed the split off of CBS Outdoor, culminating in a gain of $1.6 billion. The better news is the actual financial impact of our Outdoor initiative has been far greater than the $1.6 billion. All in, we delivered nearly $6 billion of total value. So we accomplished just what we said we would, which is unlock tremendous value for our shareholders and reshape CBS into a company that is solely focused on premium content. Let me give you some more details about these shareholder returns. In the first 9 months of this year, we have retired more than 90 million shares of our stock. This represents about 15% of total shares outstanding. Keep in mind that we were locked out of making any share repurchases for a good part of the third quarter because of the completion of the Outdoor split off. So the $400 million of cash that we used on buybacks in Q3 is just a starting point and you can expect to see an accelerated pace of quarterly share repurchases going forward. As Les said, we had $5.6 billion remaining on the program as of September 30, and we remain fully committed to returning that $5.6 billion over the next 12 to 24 months. The other key strategic reason for the separation of our Outdoor businesses was to further transform CBS into a company that is driven by the creation and monetization of the best content in the world. In many ways, the third quarter epitomizes the strength of this strategy. Our results benefited from the content licensing of our current hit shows, both in the U.S. and internationally, as well as higher revenue from reverse compensation. In fact, the 4 new reverse comp deals we made during the third quarter covered 53 stations, representing 22% of our affiliate footprint, and we have another 45 stations to renew in 2015. Even more than that, as Les mentioned, our investment in programming has led to 6 new content franchises that we own, including NCIS: New Orleans and CSI: Cyber. Both NCIS and CSI already represent multibillion-dollar franchises for us, and these new spinoffs, along with the other shows we launched during the quarter, will significantly add to that, potentially leading to billions of dollars in profits in the years to come. Already, the diversification of our revenue streams is having a big impact on our results. The third quarter -- during the third quarter, advertising made up just 46% of total revenue, and on a year-to-date basis, advertising was barely 50% of total revenue. Now let me give you some more details about our third quarter results. Revenue of $3.4 billion was up 2% during the third quarter, which spread across our 3 key revenue categories. Advertising grew 2%, helped by Thursday Night Football and strong political spending. Content licensing and distribution was up 4% led by increases in TV license fees and streaming revenues, both here in the U.S. and internationally as well. And underlying affiliate and subscription fees increased 6%. Strong growth in retrans and reverse comp offset the difficult comparison to last year when we had the Floyd Mayweather/Canelo Alvarez fight on Showtime, which was the largest pay-per-view boxing event of all time. OIBDA came in at $814 million, down 2%, reflecting our increased investment in programming, including Thursday Night Football. However, SG&A costs were down 7% for the quarter, yielding an overall OIBDA margin of 24%. We also posted EPS growth once again, just as we have for the last 19 consecutive quarters. Let me say that again. We have posted EPS growth for the last 19 quarters in a row. And for this quarter, EPS was up 6% to $0.74. It's also worth noting that foreign exchange rates cost us $0.04 per share due to the strengthening U.S. dollar. There were also 2 actions we took during the quarter that will result in future benefits. First, we cut costs throughout our businesses, resulting in restructuring charges of $26 million, and the payback on these cost-cutting measures is less than 1 year. Next, we refinanced high interest rate notes at much lower rates, resulting in a $219 million after-tax charge on the early extinguishment of debt. This refinancing, along with the debt we paid off in the second quarter, will reduce the run rate of our annualized interest expense by $35 million. Now let's turn to our operating segments. In Entertainment, revenue for the third quarter came in at $1.9 billion, up 1% from last year. The increase was driven by higher affiliate and subscription fees; growth in television licensing, which includes the domestic syndication sale of Hawaii Five-0 and Blue Bloods; and healthy gains in international revenue. Entertainment OIBDA was $335 million compared with $431 million last year because of the investment we made in programming. In our Cable Networks segment, Q3 revenue of $624 million was up 5%, driven by strong growth in Showtime licensing fees from the sale of Dexter as well as Californication. Plus, we posted higher affiliate revenue from increases in rates and telco subs. All of these gains helped offset the comp of last year's third quarter when we had that big pay-per-view fight, which, by the way, affected our cable revenue growth by 7 points. Cable OIBDA of $272 million was up 4% for the quarter, and our Cable OIBDA margin was a healthy 44%. Turning to Publishing. Third quarter revenue was $199 million compared with $224 million last year due to the timing of title releases, which we expect to improve in the fourth quarter. Digital book sales represented 28% of total revenue, up 1 point from Q3 of 2013. Publishing OIBDA of $43 million was even with last year, and as a result of lower selling costs, the publishing OIBDA margin expanded 3 percentage points to 22%. In Local Broadcasting, third quarter revenue of $680 million was up 6%, driven by strong political spending as well as higher affiliate and subscription fees. TV stations were up 10% while radio was up 2%. In addition, our local digital businesses continue to post double-digit revenue growth. Local Broadcasting OIBDA of $214 million grew 18%, driven by higher revenue as well as lower programming costs. In Local Broadcasting OIBDA, our margin expanded 3 percentage points to 31%. Turning to cash flow and our balance sheet. Our free cash flow during the quarter included payments of $360 million made in connection with the debt refinancing I mentioned, as well as additional NFL payments. We expect fourth quarter free cash flow to be much stronger than a year ago. Our gross debt to OIBDA ratio at 9/30 was 2.1x. And as we have said before, we are comfortable raising our target ratio to 2.5x as part of our capital return plan. So we still have plenty of debt capacity to utilize. We also exited the third quarter with $178 million of cash on hand. Now let me give you a few observations about what we see ahead in Q4 and into 2015. As we shared on our last call, we see revenue building through the end of the year, with the fourth quarter shaping up to be our strongest of 2014. Our TV stations are pacing to be up teens, and radio is pacing to be up mid-single digits. Looking out into 2015, we have some significant deals coming up in retrans and reverse comp. In addition to the reverse comp deals that I previously mentioned, we have about 25% of our retrans footprint coming up for renewal over the next 12 months. And as you know, each deal we do resets the bar for the next. So we are as confident as ever in reaching our stated goal of $2 billion in retrans and reverse comp in 2020. In addition, many of our distribution partners would like to offer more of our programming to their customers on-demand and outside the home. So with so many successful franchises at CBS, Showtime, we have lots of opportunities to further monetize our vast programming assets. Also in 2015, our hit show, Elementary, will become available in first cycle domestic syndication because of the multi-platform deals we already have in place. We are on track once again to have another record year of EPS in 2014. And as we move into 2015, we will certainly be expecting to do it again. So in summary, we are posting healthy gains year-after-year while setting up CBS for an even brighter future. As we continue to diversify our revenue base, our business model is only growing stronger. To that end, the best thing we can do is invest in and produce premium content. This is already paying off for us in a big way with the launch of new owned hits at CBS, The CW and Showtime. Given our track record, we are confident we will continue to reap the benefits for many years to come as we monetize our programming across traditional and emerging platforms. And all along, you can be certain we will continue to focus on driving shareholder value. So we are very pleased with where we are and where we're going. And with that, Tom, we can open the line for questions.
Operator: [Operator Instructions] We'll take our first question from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Les, can you talk about the decision to pay for the NFL this year and how it's impacted your schedule and your results versus your expectations? And I think, the NFL has the potential to extend the contract with yourself next year. How are you feeling about that? Are you expecting and hoping to have that extended? And I just had a quick question for Joe on currency. You mentioned the $0.04. Any sense for where -- can you help us see where that's coming from, I'm guessing it's licensing? And what the Q4 impact might be?
Leslie Moonves: Yes, regarding NFL, we're extremely pleased. Unfortunately, there were 4 blowout games among those that were aired, but the ratings were still very strong. And obviously, it helps our entire schedule. We're able to, as I mentioned, move Big Bang to Monday with -- and our Monday numbers were up a lot because of that, and that certainly helped it. We're very pleased obviously with the 1-year deal. And the NFL does have an option. We hope they pick it up. The good news, and we said this last quarter, because of Thursday Night Football, we're going to have more original programming throughout the year. And as time goes on, that becomes more and more important, especially as we own that program. So you're going to see a lot less repeat programming, and we expect our continued success. So all in all, Thursday Night Football has been a big plus to us, and we hope to continue.
Joseph R. Ianniello: And Ben, on your second question regarding foreign currency, what that represents really is the translation adjustments as of 9/30. So the rate as of September 30 is basically converting our receivables mainly in Europe -- in euros and pounds to U.S. dollars, so we don't know where the rate will be as of December 31. Again, so we just wanted to point it out. We did not adjust it out of our result, but we just wanted to highlight it for you guys.
Operator: Our next question comes from Jessica Reif-Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I have a bunch of quick -- I hope quick ones. On CBS All Access, how big is that addressable market? I mean, did you think this is just going to be for like avid viewers or broadband only? How do you guys think about that?
Leslie Moonves: As we said, we think it is additive, and it shouldn't take away from -- and there's a -- there's many millions of people out there on college campuses, the cord-nevers, the cord-cutters who want the ability to have, and there are 10 million broadband-only consumers out there, and we expect to be able to get those people and reach those people, and we're very excited about our foray into it. As we said, this is not to hurt our partnerships with the MVPDs, that is not our intention, but it should be expansive.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And along those lines, what you announced today, the CBS News service, is that an advertising-supported service launching tomorrow?
Leslie Moonves: Yes, it is. It launches tomorrow.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I have 2 other really quick ones. But Showtime, in light of HBO's announcement at their Analyst Day a month ago, do you have any plans to go over the top, broadband, along the CBS All Access lines?
Joseph R. Ianniello: Jessica, it's Joe. Look, obviously, we see the same opportunity HBO does. We'll look to work with our partners on doing that, but as Les said, the 10 million broadband-only homes, to not make our programming available is certainly doing a disservice to those consumers. So we have to find creative and innovative ways to continue to have our content where the consumers are. So we're going to work with our partners to do that.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And then, one last one. Just on DISH, can you just remind us, have you done your retrans deal with them, given all the noise around Time Warner?
Leslie Moonves: No. We're -- our deal is up at the end of November, and we are in discussions with them as we speak. And I know Charlie had some disparaging things to say about CNN. I don't think he could say the same about CBS.
Operator: Next question is from David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: Okay, 2 questions. The first one, I guess, going back to the ad market on scatter. Could you guys talk about if you kind of carve out the impact of the NFL, which I know is really difficult, what does the sequential delta been like in the fourth quarter versus the third quarter? Did you see real softness in the third quarter? And did you see an improvement in that market like some others have, even on the broadcast side? And the second question is, can you kind of update us on the international licensing market? You sold Madam Secretary into Sky. You referenced the CSI: Cyber deal. What kind of numbers do those shows do? Are they like domestic first run SVOD type numbers? And where overall is your sort of run rate on international licensing right now?
Leslie Moonves: Joe, you want to do the first one, and I'll do the second?
Joseph R. Ianniello: Yes, sure. Here's what I'd say, David, on the ad market. Look, Q3 ad trends are improving from Q2, like we said, and Q4 is accelerating. So I think, we said even on our last call, we see it picking up. It's hard to just say excluding the NFL when it's 3 hours of prime time on Thursdays for us. So what do I assume if we pull that out. So again, we're looking at it really holistically and just saying, we have the ratings and the content that consumers want, they're watching it live, and they're watching it delayed. So when we cume all of that, we are well-positioned to take these dollars. So as Les said, pricing is up, and demand is building. So we're very confident that we're going to continue to see that, and we like the hand we have.
Leslie Moonves: And David, regarding international marketplace, everybody knows that it's booming, and American dramas specifically are selling -- they're the best sold product there. We did $1.3 billion in revenues last year. We expect to increase on that this year. Once again, if you go selling a CBS drama, just about every single one of them is north of $2 million per episode. And that number at the CW comes down a little bit but because of what's happening with SVOD as well as new cable channels, the marketplace is very vibrant, obviously, the U.K., Germany, Canada, et cetera. So having more content is a real plus for us. We have many output deals and many deals where they're in the open market. So we're very happy having these own shows being in profit before they even hit the air, and then when they become successes on any of our networks, that only increases its profitability.
Operator: Next question is from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: You guys have great perspective in terms of what's going on in the industry with one of the strongest content stories but yet still healthy exposure to advertising. I guess, can you provide us with some perspective on how quickly you think the ecosystem is changing in terms of consumption of media and where advertising dollars are going? And what that means in terms of your priorities in terms of investments? I mean, does, for example, investing potentially in traditional cable become less attractive now?
Joseph R. Ianniello: Yes, Alexia, it's Joe. Look, here's what we said. Our buzzwords around here are broadband and mobile, and I think, everyday, we see more and more consumption in those 2 kind of platforms, and so how we're addressing that is making sure the best content in the world, which we own, is there. And so we're mindful of the existing infrastructure, but this is additive and we want to evolve with that. So our thinking is the content is borderless. It goes domestically and internationally, and it goes to where the consumers want to consume it. So we need to figure that out. The good news for us is we have those rights. Because we own most of our content, we're going to figure that out and evolve with the consumers. This is being driven by the consumer, and so, again, we'll obviously do this with partners and help distribute that content, but it puts us in a very good position vis-à-vis the future business model of what it looks like. So advertising is a key component of our mix. It will continue to be a key component, and we're going to get paid for this viewership, and that's key. It's being measured, countered, and we expect to be paid for it. So I think, our expectations are very fair. We're the best at what we do and we expect to be paid that way.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: And just one quick follow-up, if I may, on reverse compensation. It seems like you're getting right into the thick of things in terms of your affiliate renewals coming ahead. I guess, you mentioned your success in getting fair market value in some of these recent renewals. Given the growing value of the NFL and your content, has your view of what fair market value kind of inched up a bit recently?
Leslie Moonves: Of course, it has. Obviously, we've said this, and we feel this way. We're the #1 network. We have football on Sunday and on Thursday. We have the best content throughout. And as we said in our remarks, every new deal exceeds the one before, both in terms of reverse compensation as well as retrans. And the marketplace is treating us that way. It's -- we've always said, if you have the most eyeballs, you should get the most dollars. That has not happened yet. There's still a number of cable channels that get paid more than we do, but we're trying to change it, and with every new deal, we are changing it.
Operator: Our next question comes from Michael Morris with Guggenheim Partners.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: A couple more questions on the content side. First, you had -- you said the higher TV licensing and subscription fees this quarter in the entertainment segment, which was a positive given that, I think, you had a somewhat tough comparison. Can you talk a little bit about the entire back half of the year? I guess, the concern would be that we don't always see the timing of when things come through. So was there anything that was a fourth quarter phenomenon last year that was maybe kind of pulled into the third quarter? Or are you still well-positioned for the fourth quarter as well? And then, the second question, a little bigger picture. The new -- the successful new shows on CBS this fall. I don't mean to get ahead of ourselves. I know you're already licensing them internationally. How long do you want to see the high level of performance for those shows? Or do your partners want to see it before you start having the discussions about some more ways to monetize them domestically?
Leslie Moonves: Joe, why don't you do the first? I'll do the second.
Joseph R. Ianniello: Mike, I'll start with the first one on the content. Look, content licensing is definitely lumpy. There's no question about it. So this quarter, we sold Hawaii Five-0 and Blue Bloods. So it definitely had that. Again, I think that the point is we keep reloading. We have Elementary going. So we have nothing hitting first cycles domestic syndication next quarter. We did sell Dexter last year. So there'll always be different comps in and out. But just keep in mind, Mike, that we have a vast library. So we can sell other content. And so I think, I know that's hard for you guys to model and project out, so I appreciate the difficulty there, but I think, again, if you step back and just think about the library and the content we have, it's just timing. You might just be off 1 quarter or 2, but the fact of the matter is we're going to monetize it at higher and higher rates. So we want to make sure we do a good deal. So we don't really look at whether it's going to be in the fourth quarter of 2014 or the first quarter of 2015. We're trying to maximize the value of the franchise. And when the marketplace gives us that opportunity, we'll do it.
Leslie Moonves: And Mike, regarding the new shows, of course, we're having discussions. As you recall, I think, we sold Hawaii Five-0 like 3 days after it premiered. And having 2 already established franchises, having sequels to them with NCIS and CSI, we're already having conversations out in the marketplace domestically about what is possible and how you structure these deals. Fox did a very interesting deal with Gotham right after it went on the air and they sold it to Netflix, among other places, and did a very clever deal. Obviously, we're out there. We're talking to them about all our shows right away. So deals can be happening very shortly. It's a different world than you just have to wait a couple of years to see results, and I think, people anticipate where we are now in a few weeks.
Operator: Next question comes from Anthony DiClemente with Nomura.
Anthony J. DiClemente - Nomura Securities Co. Ltd., Research Division: You guys have talked about the chance for bringing Showtime over the top like HBO's announcement. So you also announced in the quarter the sale of Dexter and Californication. So can you just talk about how you decide to license some of those Showtime shows as opposed to like Californication as opposed to keeping them in-house at Showtime so as not to potentially dilute the future value of potential Showtime over the top offering? And I have a follow-up.
Joseph R. Ianniello: Yes, Anthony, it's Joe. Look, we've been very conservative with monetizing the Showtime content. I think, HBO now sells their shows after 3 years. That's on the air. We wait till the show is effectively off the air to sell it. So that's really been the rule of thumb that if no current content is available on any other service in Showtime. So that's where we've drawn the line to date. Obviously, we're getting more and more data, but Showtime as a service is a unique offering that has high-quality premium content. It has sports. It has movies. It's very -- it's unique in its offering, and we will always maintain that. I think, the one-off shows after they come into the library, we're going to just look to optimize it like we do any of our other pieces of our library.
Leslie Moonves: Yes, Dexter went off the air a little over a year ago, and Californication went off the air this year. In the HBO offering, remember, they said sometime in '15, they're going to offer an HBO service. We could say fairly definitively, sometime in '15, there will be some service from Showtime.
Anthony J. DiClemente - Nomura Securities Co. Ltd., Research Division: Okay. And just turning to Netflix. I know you guys announced a deal in the quarter with Netflix in Europe. Joe, can you just help us with the model on Netflix licensing revenues. Does that deal all get booked entirely in the fourth quarter? Does it spread into 2015? And then, also, just in the U.S. in terms of your renewal with Netflix, can you please update us on where the negotiation for that, the U.S. renewal with Netflix stands?
Joseph R. Ianniello: Yes, look -- yes, sure. Look, we have ongoing conversations with Netflix all the time. So we're always talking to them about something. So you should assume that, that happens every single quarter. The international deal, we recognize the revenue once -- when the shows are made available. So if it's a library deal, the shows are recognized, again, upon execution, as long as we deliver the shows. If it's for new shows internationally where they're getting an earlier window, it's when the shows are made available. So that's the accounting recognition process. So that's what we follow. Again, it does cause lumpiness, but again, I think, Anthony, the takeaway is Netflix continues to do business with us because we have content their subscribers want to see, and as long as we have that dynamic, we're going to be fine.
Operator: Next is John Janedis with Jefferies.
John Janedis - Jefferies LLC, Research Division: Les, you talked a little bit about the ad market, and I'd say it's been a very long time since anybody's talked about broadcast actually taking share from cable. And I wanted to ask you, what are your advertisers telling you about the allocation of their broader TV budgets in terms of the shift? Maybe to what extent is it sustainable? Or it's just because of the weak ad market?
Leslie Moonves: We had a weaker market over the summer, obviously, and there was a slowness in the marketplace. But overall, broadcasting this year, of the 4 major networks, 3 of them in viewers are flat or up. So there isn't a decline yet. You do see in basic cable more of a decline across the board. So our advertisers are telling us, obviously, that, once again, to reach the broad marketplace, that we're still the best game in town, and we're seeing scatter grow. Definitively, I can't give -- I can't quantify how much is moving to us. Obviously, there's a lot of conversation about what is going digital. We don't think the advertising that's going digital affects the $20 million -- the 20 million viewer programs like we are. We think it affects more of the niche businesses that we're not in.
Operator: We'll go next to David Miller with Topeka Capital Markets.
David W. Miller - Topeka Capital Markets Inc., Research Division: Joe, I just want to understand the $52 million impairment charge. Was that just a pure programming impairment? Or I just want make sure you're not impairing any licensing or any other stuff in there. And then, I have a follow-up.
Leslie Moonves: Yes, sure, David. The $52 million is related to the Beasley swap for radio. So basically, again, the accounting rules, when you enter into a transaction based on the FCC licenses and goodwill values and where things are, is we record that charge there. So it has nothing to do with any programming assets at CBS.
David W. Miller - Topeka Capital Markets Inc., Research Division: Okay. Great. And then, just a follow-up on retrans for next year. As we gear up to just kind of watch how this all plays out with reverse retrans in these negotiations you guys have coming up sort of in late Q1, early Q2, is the right way to think about how you'll negotiate this that you're just going to try to extract the highest number from the non-owned affiliates? Or will you actually help them? Will you help them in their negotiations with the MSOs and then try to take half? I'm just kind of wondering the style of negotiation you're planning to take.
Joseph R. Ianniello: Yes, David, look, our style is we don't plan on negotiating deals for other third-parties. We're going to negotiate deals for ourselves, and we know what fair market value is for our content. Again, we have third-party deals that demonstrate just that. So we're going in, negotiating new deals for, call it, license fees for content we're providing, very valuable content, I might add, to these stations that allows them to go out and get retrans, as well as advertising, because remember, they're probably the #1 station in their local markets, and I suspect they're getting a whole lot of advertising dollars, and last I checked, when I see TV stations' OIBDA margins, they're pretty healthy. So we're going in with a number in mind, and we are determined, as Les said, to achieve it.
Operator: Next question comes from Laura Martin with Needham.
Laura A. Martin - Needham & Company, LLC, Research Division: So my question comes -- I was speaking at the NAV yesterday, and a lot of those guys are saying that when you bring them the competition for All Access, they're going to cash for $1 or $2 from you. And so I'm wondering I know you started with your ONOs at 30% or 40% coverage, but as you think about trying to make that a national signal, which is what your customer is used to when he pays $6. How much are you going to actually end up with in the sort of 60% of country you don't own? And following on that, building on that, also, I'm very interested, Joe, in your thinking about kind of people follow your lead because you guys are the smart guy in the business and if somebody like a Food Network, which has always been $0.50 in the bundle spins off, follows your lead, goes over the top, then someone cuts the cord, you CBS lose sort of $1.50. So it feels like sort of a math is your upside is $4 since you've got to pay your affiliate $2, and you're going to lose $1.50 if Food Network follows your lead and somebody cuts the cord with you in it because they're just going to take Food Network instead. So walk me through how you think about the math there?
Joseph R. Ianniello: Whoa, Laura, that was a lot with a bad connection, but I'll take a shot at it. Look, for All Access, I think, we definitely see the affiliates joining in. I think, we've had lots of conversations with them already. I think, they're excited about it. They will participate in the offering. It is a national service. It's the live piece that we're talking to the affiliates about. We think, again, it's a compelling offering. As Les said, in this one service already, it has more shows than any other subscription service that's out there. So yes, obviously, it is priced at a significant premium to where we are in the retrans reverse comp methodology just for that, for, again, protection. We don't see it cannibalizing. We see it as additive, but again, it's priced as such that it is a premium product because the offering is deep.
Leslie Moonves: And Laura, just to clarify, it is now a national offering without the live feed. Now we're getting -- as Joe mentioned, we're cutting in the affiliates, and they're trying to -- we're making these deals with them to include the live feed, but the rest is available nationally right now.
Operator: Next question comes from Vijay Jayant with Evercore ISI.
Vijay A. Jayant - ISI Group Inc., Research Division: Just wanted to get your opinion from a strategic perspective. Obviously, Starz allegedly is trying to shop itself. I mean, you talked about over-the-top aspirations off Showtime in the future. Is that strategic? Is there huge cost savings you can see, even considered an asset like that? And a follow-up. I just want to get some color on political. I think, we had you guys doing about $180 million in the last midterm. Is that sort of the numbers that you got this year, too?
Leslie Moonves: Look, Starz, there are 3 premium cable networks, HBO, Showtime and Starz. Showtime is doing extremely well, and we've done the basis of that on our original programming. The Starz programming is based more on movies. It's a very interesting asset, but we feel content with what we have right now.
Joseph R. Ianniello: And on political, Vijay, look, I'm not sure where we ended yesterday. I would say, political, definitely, there was a frenzy towards the end and there was a lot of spending going on, so we haven't quite tallied it. Whether or not we set a new record, to be determined, but I would say it certainly accelerated towards the end of the election.
Leslie Moonves: Yes, we actually called the White House and asked them to extend the date for another week so we could take in more revenue but they wouldn't do that.
Operator: Next question comes from Jim Goss with Barrington Research.
James C. Goss - Barrington Research Associates, Inc., Research Division: Time Warner this morning was arguing for a broadcast model similar to that HBO and Showtime are implying with a lot of the program library available for SVOD. And I think, you do that, to some extent, but I'm wondering, how extensive it is right now? Who calls the shots in that area? And what is the monetization opportunity? Is it loyalty and then payback in retrans? Or is there some other monetization opportunity upfront?
Leslie Moonves: Jim, I'm not sure what -- I didn't hear what Time Warner said about a broadcast model. We're very careful about making sure that we don't cannibalize what's on the air and make sure our viewers got an opportunity to see our programming in as many ways possible. We have a very deep library, but I don't quite understand the question.
James C. Goss - Barrington Research Associates, Inc., Research Division: Well, it seemed like they thought if to the extent you can catch up with all of the series, which we can, I think, at least in some of your shows, is that something that's desirable to you? And how that would -- how you would get paid for that if you were to do that more?
Joseph R. Ianniello: Jim, if what you're saying is there's delayed viewing and consumers' habits are changing for binge or catch up, that's absolutely occurring. And I think, that's why Les has said, the live rating means a lot less today than it is even just a year ago. So we are making sure that, A, it's being measured, the ad loads are the same, and we can monetize it. So I just think that, again, the consumption is still ahead of monetization, so that's a good thing, but it creates an opportunity for us. So once again, that's why we have All Access and these other kind of platforms to be able to reach those consumers because they have changed their habits, technology has changed and allowed them to view the content on their terms, and we're going to embrace that.
James C. Goss - Barrington Research Associates, Inc., Research Division: And as sort of as a corollary, as your own programming library becomes more and more robust, as you've described, do you either desire or even need another cable channel? Or could you repurpose one of the other ones you have to take more full advantage of that library?
Leslie Moonves: I don't think right now we need a cable channel. We're able to monetize our content in a tremendous way without having to acquire a cable channel.
Operator: And that question comes from Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I have 2. The first, you mentioned that CBS All Access will be nationwide. How long it's going to take you to ramp that up?
Joseph R. Ianniello: Marci, it is nationwide. Let's be clear, it's nationwide for all video-on-demand, library, all of that content, and in certain ONO markets, in addition to that, you get a live linear feed of what you're watching on the air. So just the live linear, it's in 1/3 of the country, but the rest of it, video-on-demand, you can watch the next day of the shows for the subscription fee, or our vast library, you can get for that $5.99 a month, today, not tomorrow, today. So that is available.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I'm assuming you're going to add the live feed.
Leslie Moonves: And the 1/3 will expand as we sign up more and more affiliates to join us. So hopefully, by next year, we have most of the country with the live feed, but as Joe said, if you want to watch any episode of NCIS or The Good Wife or Madam Secretary, you can get that today in any part of the country.
Joseph R. Ianniello: Clearly, you're not a subscriber yet, Marci, but we'll give you a free week to turn you on to the service so you can test it.
Leslie Moonves: Would you like us give credit card right now? We'll take it.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Yes, I'd love to. I can't wait. And then, just a bigger-picture question. There seems to be less of an appetite for off-network syndication. All the networks, cable networks that were buying this programming are focused on originals, and there seems to be a fear in the marketplace that international syndication and SVOD is not going to offset declines in traditional syndication. Can you speak to that?
Leslie Moonves: Well, judging from the numbers that we're seeing that we get between SVOD and all the various deals that we are getting from a variety of sources, we're not worried. The numbers we're selling our new product for are higher than what the old numbers are. And by the way, some of the cable networks that complain, they say they're not buying it, we're not quite seeing it. The Big Bang Theory is still the highest-rated show on Turner, and that's an off-network. But with all the variety of places that you can now sell your programming, the cable nets just become one small piece of it. And the numbers now for every single of our shows are more than they were when maybe cable syndication was a bigger part of it. So there's no fear on our part that we're going to be able to make more money on these shows.
Adam Townsend: Great. Thank you, Marci, and this concludes today's call. Thank you, everyone, for joining us. Have a great evening.
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation.